Operator: Good afternoon. My name is Heather, and I will be your conference operator today. At this time, I would like to welcome everyone to the Denny's Corporation First Quarter 2012 Earnings Release Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to today's host, Mr. Whit Kincaid, Senior Director of Investor Relations for Denny's Corporation. Please go ahead, sir. 
Whit Kincaid: Thank you, Heather. Good afternoon, everyone, and thank you for joining us for Denny's first quarter 2012 investor conference call. This call is being broadcast simultaneously over the Internet. With me today from management are John Miller, Denny's President, Chief Executive Officer; and Mark Wolfinger, Denny's Executive Vice President, Chief Administrative Officer and Chief Financial Officer. 
 John will begin today's call with his introductory comments. After that, Mark will provide a financial review of our first quarter results. I will conclude the call with an update of Denny's 2012 full year guidance. As a reminder, we will be filing the 10-Q on the due date of May 7, 2012. 
 Before we begin, let me remind you that in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, the company notes that certain matters to be discussed by members of management during this call may constitute forward-looking statements. Management urges caution in considering its current trends and any outlook on earnings provided on this call. Such statements are subject to risks, uncertainties and other factors that may cause the actual performance of Denny's to be materially different from the performance indicated or implied by such statements. Such risks and factors are set forth in the company's most recent annual report on Form 10-K for the year ended December 28, 2011 and in any subsequent quarterly reports on Form 10-Q. With that, I will now turn the call over to John Miller, Denny's President and CEO. 
John Miller: Well, thank you, Whit. Good afternoon, everyone. We are encouraged about the first quarter of the year as we are clearly starting to benefit from all of our efforts over the past few years. Denny's achieved the highest quarterly systemwide same-store sales increase in almost 5 years, while growing our adjusted income before taxes and free cash flow. We achieved these results despite what continues to be a challenging economic environment. This is a testament to our efforts to reenergize a 59-year-old brand with a franchise-focused business model, which allows us to grow profitability, while generating free cash flow that can be used to further strengthen our balance sheet and increase long-term shareholder value. 
 In the first quarter, we continue to make progress on all 3 of our key objectives helping to make Denny's a leader in our segment and in the industry. The first key objective is our brand revitalization leveraging our America's Diner Always Open positioning, which provides the promise of everyday value with crave-able, indulgent items served in a come-as-you-are, friendly and inviting atmosphere. We now have 5 going on 6 quarters under our belt with our America's Diner brand positioning efforts. With this as our compass, we are at the beginning stages of effectively broadening our approach from the more narrowly focused breakfast-all-day platform. Guests today see us as a viable and relevant place to satisfy their craving for their diner favorites. In addition, we are building frequency among our tried and true loyal customers looking to enjoy interesting new offerings on a more regular basis. 
 The first of 5 marketing modules planned for 2012 was our Sizzlin' Skillets LTO, which mixed well above forecast driven by 3 lunch and dinner offerings. The Skillets LTO, which offered classic diner items that our customers cannot easily make at home, also provided a great opportunity for add-on sales. We also launched the new core menu in January containing new classic diner offerings such as our slow-cooked pot roast, our Brooklyn spaghetti and meatballs, a bacon lover's BLT and the Fit Fare veggie skillet. Most recently, we launched Build Your Own Pancake, our second LTO module, which will run until early June. This LTO plays off the strength of our Build Your Own Grand Slam product in addition to our guests' desire for customization, while also offering great add-on and up sell opportunities. Guests can add mix-ins for $0.50 each or indulge in our new Peanut Butter Chocolate Milk Shake, Peanut Butter Pie or the Double Chocolate Pancake Puppies with peanut butter sauce. 
 We continue to emphasize the $2/$4/$6/$8 Value Menu through selective product updates and focus national and local media. We saw the mix of $2/$4/$6/$8 Menu decreased to around 15% as guests traded away from the Value Menu and value warranted Build Your Own Grand Slam to the higher-priced LTOs and core menu items. This added more than a 1% lift to our guest check average compared to the prior year quarter, likely at the slight expense of transactions while affirming that we have a broad array of strategies with our multitiered approach. 
 Our success is being achieved through consistent brand execution leveraging our 3 primary marketing strategies: everyday affordability, creating compelling Limited Time Only product offerings, and driving sales beyond breakfast. Although we are disappointed that we did not achieve positive same-store guest counts at our company-owned units this quarter, we believe that we have the right brand-building strategies in place to drive consistent improvement. 
 Another key part of our brand revitalization efforts is to deliver consistent, reliable service across all of our company and franchise units. Having a deep history in the restaurant business and coming up from the ranks and operations, I've spent considerable time focusing on our operating systems and the consistency and quality of our operating execution. At the end of 2010, we started implementing the service management group, SMG for short, guest satisfaction tool and now have over 1,300 restaurants using the tool. We are leveraging SMG to develop a deeper understanding of each location's performance, to benchmark Denny's performance against our peers and to track operational initiatives focused on improving guest satisfaction measures. We know that consistent improvements and guest intent to return and intend to recommend can lead to improvements in guest traffic over time. Direct guest feedback for our units provides us with a common language to work with our franchisees to drive operational improvements. After a little over a year, we are seeing improvements in our scores. Admittedly, there is a meaningful GAAP between Denny's scores and the full service restaurant industry. We are working closely with our franchisees to reinforce the best ways to deliver consistent, reliable customer service to our guests, continue the progress we've made in our intent to return and recommend scores. It will take time to move to the top of the category, but it's another positive step in our efforts to drive consistent improvements in traffic. 
 There are a number of additional foundational objectives that will drive our success. By far, the most important one is our relationship with our franchisees. They are the heart of the brand. We want to help them grow and strengthen their business. We work closely with the Denny's Franchise Association and its Board of Directors. In addition, our Brand Advisory Councils for marketing, development and operations, made up of franchisees and corporate representatives, plan and execute many aspects of the business. The depth of our relationships and benefits of trust built from transparency and working alongside each other for mutual benefit of our brand has been successful in developing, testing, communicating and implementing new initiatives. We provide many support services to our franchisees such as purchasing, marketing and training. Our goal is to be the model franchise over the industry through these efforts and services to our franchisees. With this goal in mind, we have worked with the Denny's Franchise Association to develop a supply chain oversight committee, which will allow us to partner more closely with our franchisees on the brand's purchasing efforts. By more closely aligning with our franchisees, we believe that we can further strengthen the brand and our franchisees. 
 Our second main objective is to continue the growth the Denny's brand through traditional and non-traditional venues, both domestically and internationally. We are placing more time and resources toward building our development pipeline in the U.S. and abroad. We opened 6 franchise units in the first quarter, and we are pleased that 2 were international units in Puerto Rico and Canada. Our guidance for this year is 45 to 50 openings, which will be primarily driven by traditional domestic units, with a few more coming from international, non-traditional and travel centers. I'm pleased to announce that we recently opened Denny's first airport location. Our newest international unit is located in the Las Americas International Airport in Santo Domingo, Dominican Republic. It was opened by one of our newest international partners. 
 And the third main objective is to grow profitability and free cash flow through our franchise-focused business model. Although the restaurant industry has faced challenging times over the past few years with headwinds from difficult consumer economic environment, inflationary pressures and intense competition, Denny's has been able to grow sales profitability and free cash flow. This has enabled us to continue making investments in the brand, while strengthening our balance sheet through debt repayments and returning cash to our shareholders through our share repurchase program. 
 Subsequent to the first quarter, we closed on a new credit facility that will reduce interest costs and increase balance sheet flexibility, which Mark will discuss in more detail. This is a major milestone for the brand and allows us to continue to strengthen our balance sheet and achieve maximum flexibility for our use of cash in the next few years. This will enable us to continue our steady track record of supporting franchise growth and returning value to our shareholders. 
 With that, I'll turn the call over to Mark Wolfinger, Denny's Chief Financial Officer and Chief Administrative Officer. Mark? 
F. Wolfinger: Thank you, John, and good afternoon, everyone. Our first quarter performance was highlighted by positive same-store sales at both franchise and company units, with a 61% increase in adjusted income before taxes and an 82% increase in free cash flow compared to the prior-year period. Driven by our franchise-focused business model, our growing profitability and free cash flow have allowed us to further strengthen our balance sheet enabling us to refinance our credit facility at the beginning of the second quarter, which I will discuss in further detail towards the end of my comments. 
 In the first quarter, systemwide same-store sales increased 2.4%. Same-store sales at franchise restaurants increased 2.7% and same-store sales at company restaurants increased 0.8%. This is the fourth consecutive quarter that both franchise and company same-store sales have been positive. Looking at the details for company sales performance. Guest check average increased by 2.4%. The higher guest check average included a 1.6% increase from core menu pricing taken in January of this year and June of last year. In addition, favorable product mix provided a positive benefit to our guest check average, as we sold a greater mix of higher-priced entrées compared to the prior year quarter. In the first quarter, company same-store guest counts decreased 1.5%. Around 70 basis points of this decrease was driven by the honeymoon impact of the new company-owned units we opened in 2010 and 2011, as new units become part of our same-store calculation after being opened for 12 months. 
 Franchise same-store sales increased 2.7% in the first quarter, primarily due to the impact of higher guest check averages combined with the higher same-store traffic than seen at the company units. Since our franchise units account for 88% of the system, we believe that franchise and systemwide same-store sales metrics better reflect changes in unit loan performance throughout our system. We anticipate ending reporting same-store company guest counts and guest check average when we complete our Franchise Growth Initiative, or FGI program, at the end of this year. Denny's total operating revenue, including company restaurant sales and franchise revenue, decreased $9.1 million compared to the prior year quarter, primarily driven by a decline in company restaurant sales in the quarter. Sales at company-owned units decreased $10.4 million primarily due to the 31 fewer equivalent company restaurants, restaurant units compared with the same period last year, reflecting the continuing impact of selling company units to franchisees as part of our FGI program. This decrease was partially offset by the 0.8% increase in same-store sales for the quarter. In the first quarter, Denny's opened 6 new franchise units, closed 11 franchise and company units and sold 6 company-owned units to franchisees leading to a 5 unit decrease in system units in this quarter. 
 I'll now turn to the quarterly operating margin table. In the first quarter, company restaurant operating margin of 15.1% represent a 3.0 percentage point increase compared to the prior year quarter, and was primarily impacted by the following items, which I will discuss in more detail. Product costs increased 0.5 percentage points to 25.0% of sales, primarily due to the impact of increased commodity costs. Payroll and benefit costs decreased 2.2 percentage points to 40.1% of sales primarily due to improved labor efficiency and a $1 million or 1 percentage point increase from favorable workers' compensation claims development in this quarter and unfavorable workers' compensation claims development in the prior year period. Occupancy costs decreased 0.5 percentage points to 6.1% of sales, primarily due to favorable general liability claims development in the first quarter of this year. Other operating costs decreased 0.9 percentage points to 13.7% of sales, primarily driven by a 0.8 percentage point decrease in other operating expenses, which were higher in the prior year period due to new store opening expenses for 5 company-owned units in the first quarter of 2011 and 14 company-owned units in the fourth quarter of 2010. 
 In summary, the gross profit from our company operations increased $1.6 million on a sales decline of $10.4 million. For the first quarter of 2012, Denny's reported franchise and license revenue of $32.6 million compared with $31.3 million in the prior year quarter. The $1.3 million increase in franchise revenue was primarily driven by a $1.2 million increase in royalties from 51 additional franchise equivalent units and the effects of higher same-store sales and the current year quarter. The $600,000 increase in occupancy revenue was primarily driven by selling company-owned units to franchisees. This increase was offset by a $500,000 decrease in initial and other revenue primarily driven by opening 7 Flying J conversion units in the prior year quarter. Franchise operating margin increased $1.6 million to $21.3 million in the first quarter. This increase was primarily driven by the $800,000 increase in royalty and fee revenue, a $400,000 increase in occupancy margin and a $400,000 decrease in direct franchise cost. The decrease in direct franchise cost was primarily driven by a $500,000 one-time franchise settlement in the prior year quarter. The franchise operating margin as a percentage of franchise and license revenue of 65.3% represents a 2.3 percentage point increase compared to the prior year quarter. The franchise side of our business contributed 60% of the total operating margin in the first quarter, which is $7.1 million more than our company restaurants. As we have emphasized in the past quarters, the income shift to a franchise-focused business model gives us greater predictability in our earnings. For the quarter, adjusted EBITDA margin as a percentage of total operating revenue was 15.4%, an increase of 1.8 percentage points compared to the prior year quarter. Total general and administrative expenses for the first quarter increased $1.5 million from the prior year quarter. General and administrative expenses, excluding share-based compensation, increased $1.7 million, primarily due to an increase in payroll and benefit costs and an increase in performance-based compensation accruals relative to the prior year period. The increase in payroll and benefits cost is primarily driven by enhancements in key areas like operations and brand support, as well as a higher pension accrual related to a year-end adjustment to the valuation of our closed pension fund. In addition, we hosted a series of road rallies with our franchisees in key markets during the first quarter. Depreciation and amortization expense declined by $1.1 million compared with the prior year quarter, primarily as a result of several company-owned restaurants over the past 2 years. Net operating gains, losses and other charges, which reflect the restructuring charges, exit costs, impairment charges and gains or losses on the sale of assets, decreased $400,000 compared to the prior year quarter, primarily driven by higher restructuring and impairment cost that were offset by higher gains on the sale of assets. Gains on the sale of assets were $1 million higher primarily due to higher average net proceeds per unit for company-owned units sold in the first quarter of this year compared to the prior year period. Restructuring and exit costs were $800,000 higher than the prior quarter, primarily driven by anticipated severance for our former Chief Operating Officer. Impairment charges were $500,000 higher than the prior year quarter primarily driven by the underperforming unit and the unit identifies assets held for sale. Operating income for the first quarter increased $2.4 million from the prior year quarter to $13.9 million, primarily due to the increase in franchise and company restaurant operating margins and a lower depreciation and amortization primarily offset by higher general and administrative expenses. 
 Below operating income, interest expense for the first quarter decreased $1.2 million to $4.5 million as a result of a $41 million reduction in total gross debt over the last 12 months and the lower interest rates under our former credit facility. On April 12, Denny's refinanced its credit facility establishing a new 5-year, $250 million senior secured bank credit facility comprised of $190 million term loan, and a $60 million revolving line of credit. This is -- this all-bank facility is a testament to the tremendous progress Denny's has made over the past several years with its franchise-focused business model resulting in a stronger balance sheet with growing profitability and free cash flow. The refinance facility features interest rates step downs based on the company’s total debt to adjusted EBITDA ratio and is initially set at a 30-day LIBOR plus 300 basis points. The new credit facility does not contain an interest rate floor prior to the term loan or the revolver. 
 When compared to the prior facility, which has an interest rate of LIBOR plus 375 basis points with the LIBOR floor of 1.5% for the term loan and no LIBOR for the revolver, the new facility will lower interest cost by 200 basis points based on current interest rates. In addition to the interest savings, the new facility allows us to continue to benefit from further deleveraging by offering lower interest rates, while allowing us to achieve maximum flexibility for the use of cash. 
 The term loan we amortized 10% per year paid quarterly or $4.75 million with a balance due at maturity. There will be an excess cash flow sweep starting at 50% decreasing to 25% with a total debt ratio of below 2.5x, but ending when a total debt ratio is below 2x. The facility offers the opportunity to lower interest rates by 25 basis points for a total debt ratio below 2.5x and another 25 basis points for a total debt ratio of below 2x. Our cash allocation per share repurchases and dividends will be capped at $34.8 million each year with the only limitations being the mandatory debt repayments. Once our total ratio gets below 2x, the $34.8 million cap will go away, so long as we have a minimum of $20 million of availability on the revolver. The new facility does not require Denny's to be rated by the ratings agencies. As a result, we will not be renewing our ratings with S&P and Moody's. We estimate that the closing of this new bank facility will result in a one-time charge to other non-operating expense of approximately $8 million in the second quarter of 2012. As a result of charges for the unamortized portion of deferred financing costs and original issue discount related to the prior facility and a portion of the fees related to the new facility. 
 Our effective income tax rate of 39.9% in the first quarter was higher than our initial estimate of 30% to 35% due to updated assumptions for the year, including the lower potential tax credits to be received. The change in the effective tax rate compared to the prior year resulted from the release of substantial portion of the valuation allowance on certain deferred tax assets based on our improved historical and projected pretax income. Due to the use of net operating loss carryforwards, we only paid $200,000 in cash taxes this quarter. We will continue to utilize additional net operating losses in income tax credit carryforwards to eliminate the majority of our cash taxes for the next several years. 
 In the first quarter, adjusted income before taxes increased 61% to $10.1 million. We believe the best measure of the ongoing earnings of our business is adjusting income before taxes as it does not include operating gains, losses and other charges such as restructuring charges, exit cost and impairment charges. It also does not include the changes we have had in our effective tax rate. 
 Moving on to capital expenditures. Our first quarter cash capital spending was $1.8 million, a decrease of $3.9 million compared to the prior year period. The decrease was primarily driven by lower and new construction expenditures reflecting the impact of opening 5 company-owned Flying J conversion units in the prior year period. The transition to a franchise-focused business model and improved operating performance have allowed us to generate a significant improvement in free cash flow. We generated $13.7 million of free cash flow in the first quarter, an increase of $6.2 million or 82% compared to the prior-year quarter. Free cash flow has allowed us to continue to strengthen our balance sheet as we repaid $8 million in term loan debt in the first quarter, bringing our total debt repayment over the life of our former credit agreement to $60 million. We have reduced total debt by $339 million or 62% since early 2006 and now have outstanding term loan debt of $190 million. Our total debt to adjusted EBITDA ratio is now 2.6x. We anticipate achieving the 2.5x ratio of threshold in the new credit agreement in either the second or third quarter of this year. We anticipate achieving the 2x debt ratio and threshold sometime in the next 24 months. 
 During the last 18 months we've returned value to shareholders through share repurchases in addition to repaying debt. We maximized our share repurchase stability in 2011 and have purchased a total of 6.7 million shares since initiating a share repurchase strategy in the fourth quarter of 2010. Due to our focus on closing the new credit facility, we did not repurchase any shares during the first quarter of 2012. We have 2.3 million shares remaining in our authorized 6 million share repurchase program and anticipate completing it in 2012. We will continue to balance the use of our free cash flow between debt repayment and share repurchases as we seek to both make us a stronger franchisor and return value to our shareholders. 
 That wraps up my review of our first quarter results. I will now turn the call over to Whit, who will speak to the updates in our 2012 guidance. 
Whit Kincaid: Thank you, Mark, and good afternoon, everyone. I would like to take a few minutes to expand upon the business outlook section in today's press release. 
 Based on year-to-date results, our refinancing and management expectation, Denny's is updating its financial guidance for full year 2012. The areas with updates are as follows: we expect full year systemwide restaurant same-store sales to be between positive 1% and positive 3%, which includes an expectation for franchise restaurants same-store sales to perform between positive 1% and positive 3%, and company restaurant same-store sales to perform between flat and positive 2%. We expect commodity inflation to continue to impact our business in 2012, but to a lesser degree than what we saw in 2011. Based on our current thinking, we believe that commodity cost pressures will be in the 2% to 4% ranges here, which is slightly lower than our initial thinking of 3% to 5%. We are currently locked in to over 70% of our needs for 2012. 
 Due to the commodity increases we saw in 2011 and anticipate seeing in 2012, we took a less than 1% price increase with the core menu that came out in January. This is in addition to the less than 1% price increase we took in June of last year. We anticipate that we will be able to more than offset any inflationary pressures impacting our company operating margin with unit level improvements, efficiencies gained through selling company-owned units to franchisees and by not having the startup cost associated with the Flying J conversions. As a result, we anticipate that our company restaurant operating margin will be between 150 and 250 basis points higher than the 13.1% margin we had for the full year of 2011. This includes $1 million favorable impact we had from nonrecurring items during the first quarter of this year including $500,000 of favorable workers' compensation claims adjustments and $500,000 of favorable general liability claims development. 
 We anticipate that our total reported general and administrative expenses for 2012 will increase $3 million to $6 million compared to 2011. Our goal is to ensure that we have the proper resources to drive our key initiatives. This year-over-year increase is primarily driven by an increase in payroll and benefit costs due to enhancements in key areas like operations and brand support and an $800,000 increase in our pension accrual related to a year-end adjustment evaluation of our closed pension fund, the biggest driver of variability and general administrative expenses, performance-based compensation expense, which is based on our annual performance. When you benchmark Denny's G&A expenses versus other franchise-focused restaurant companies, we believe we compare favorably on a variety of metrics including total G&A per system unit, total G&A as percent of total GAAP reported revenue and total G&A as a percent of total system sales. 
 Due to our new credit agreement, we expect net interest expense to now be between $12.5 million and $13.5 million with net cash interest expense to be between $10.5 million and $11.5 million. Variability and interest expense will be driven by the 30-day LIBOR rate in the amount of term loan debt we repaid during the year. As part of the new credit facility, we're required to hedge a portion of the $190 million term loan. We entered into interest rate hedges that capped a LIBOR rate on borrowings for the term loan for a 2-year period. The 2% rate cap for the 90-day LIBOR rate applies to $150 million of the borrowings during the first year and a $125 million of the borrowings for the second year. 
 Our updated guidance for adjusted income before taxes is between $45 million and $49 million, which is annual growth of 21% to 32%. Our updated free cash flow guidance is $51 million to $55 million, which represents annual growth of 7% to 16%. We currently estimate that our effective tax rate for the full year will be between 35% and 40%. As Mark mentioned, we continue to benefit from certain deferred tax assets and expect our cash payments for income taxes to be between $3 million and $4 million in 2012. 
 That wraps up our guidance commentary. I will now turn the call over to the operator to begin the Q&A portion of our call. 
Operator: [Operator Instructions] Our first question comes from the line of Will Slabaugh with Stephens Inc. 
Will Slabaugh: On the strength you're seeing in franchise same-store sales, I'm wondering if you could talk a little bit more about what's going on there from a traffic and check perspective. And also, if you have that actual breakout of the growth between the traffic and check, that would be great. 
John Miller: Yes, Will, this is John. There's a couple of things going on. First of all, we are performing really well in the key states, so that certainly helps with our franchise community when Texas, Arizona, California and Florida are having a good showing. Secondly, we did have quite a number of remodels wrap up the fourth quarter of the year, and then go into the first quarter of this year. And a good portion of those, call it sort of rounding up to 40% or so, somewhere in that neighborhood are at the full scope. And the rest would be this program we had over the last couple of years. So that's -- that I think played a role in that. And then we're looking at about 2% price between last July and then the January menu print, the accumulative effect of those 2. 
Will Slabaugh: Okay, great. And then just quickly, as a follow-up.  Mincing a little more of the media mix, it seems like at least for the $2/$4/$6/$8 value offering, I didn't know if that was because of something you've been seeing in the market? Or if that just could be my television, just curious if that's what would you expect it to be a larger percentage of the mix? And just kind how are you thinking about that remediate [ph] there going forward? 
John Miller: Yes. Well, I think you see that we're learning how to use the broad array of tools that are available to us. If you dial check up a little from the add-on sales, it has some consequence to traffic, so we've seen a little lower incidence of our $2/$4/$6/$8. And so I think that we'd be inclined to put a little bit more weight on it now that you see traffic softening just a little bit. But the way we organized our modules, we led with -- we developed our strategy coming out of the year with check in mind because transactions had really started to improve for the brand. And. I think now we'll just sort of rebalance the scale. But we split -- inside each module, basically, we lead with value I'd say it's safe to say and then we go more towards the check builders, and then we finish with $2/$4/$6/$8. So that's what you're seeing right now. And if you have a favorite team that you're watching, then you would notice it a little bit more. But it's fairly normal for how we wrap up the module. 
Operator: Our next question comes from the line of Michael Gallo with CLK. 
Michael Gallo: John, question for you. You've been there now for about a year. I was wondering where you see some of the real low-hanging fruit opportunities. Now you mentioned some opportunities on customer service gaps versus some of the peers. I was wondering if you can elaborate on that. And also what you're doing to address that. 
John Miller: Sure. I wouldn't say there's anything low hanging. We've got a 59-year-young brand that has a little bit of a gap with -- as we willingly admitted in this call in our comments that we are closing a gap. We've seen some fairly substantial improvements since we started taking measure of how we perform along the key quality measures, whether it be speed, taste, quality and intent to return and so forth. So we are making progress. And the approach to that is just basic blocking and tackling. Mark mentioned in his comments that we had a road rally at the earlier part of the year that we did not have in the first part of this same time last year. And that was designed specifically to go work on fundamentals in the restaurant. So these are the kinds of things that we work on all the time. So I wouldn't call it low-hanging fruit, but we're just trying to get more focused, a common language, a way in which we can measure consistently across the brand. And we think we're getting benefit in traction from those efforts. 
Michael Gallo: Okay. That's very helpful. And then also, John, I was wondering if you can comment on sort of the trend through the quarter. Obviously as gas prices moved up as you got into March, several of the peers certainly indicated to see some softening in traffic. So can you talk at all about the trends through the quarter, obviously Denny's probably from a systemwide standpoint? It's probably less weather-impacted than some of the Northeast-focused concepts or Midwest-focused concepts, but any kind of helpful color on kind of how the quarter ended versus started would be okay. 
John Miller: Sure. I think the -- what's easier to talk about is if we talk about the second quarter, which I'm not in the position to do. So what I would say though, what's really behind the question for me is how much weather, probably a little bit less with our brand with California, Arizona, Florida. No doubt about that. Were not all concentrated in the Midwest, so we wouldn't have quite a favorability in Q1. But no question that there's -- the earliest part of the year, there's a little bit more of a weather benefit and then gas-prices affected. You saw that as a lot of our peers started talking about how the year unfolded. So what may be, and if reading between the lines a little bit, is directionally how are things going? And I would say that we're pleased that momentum remains at a comfortable level for us. So we're very comfortable with our guidance. 
Operator: Our next question comes from the line of Tony Brenner with Roth Capital Partners. 
Anton Brenner: I'd like to ask about 2 things. One, again regards guest counts. I'm a little puzzled why since the institution of the $2/$4/$6/$8 Value Menu, your America's Diner campaign appears to have traction and is generating. I gathered some positive momentum. You've got now a number of remodels that has been completed, but still you're unable to sustain any sort of consistent increase in guest counts. And I'm wondering if you might comment on why that is, and what you might do to improve that trend. 
John Miller: One of the things -- I think we'll let Whit speak to it a little bit more specifically. But no question, the gas prices as mentioned earlier hit a lot of people pretty hard, the consumer pretty hard. And then also, because of how we report comps, you might recall Mark's comments from just a few minutes ago, we rolled over -- at 12 months, we report stores on a comp basis. So that's something that I don't know that all of our peers do, so there was an impact associated with that. Whit, you want to... 
Whit Kincaid: Yes, Tony. I'll just add to John's comments. Certainly on a, I think, on a relative basis, there were -- for fewer small percentage of Flying J conversions opened, and this as a percent in the franchise kind of whirled.  But when you back away kind of around 2% pricing in the franchise same-store sales, and then kind of the product mix benefit, franchise traffic was slightly negative. So they're benefiting, as John mentioned before, from having done a number of remodels and refreshers in the fourth quarter of last year. And then in the first quarter of this year, there was some carryover. We did about 80 remodels and refreshers. About 50 of those are actually refreshers that were kind of carryover from last year's initiative. So there are now pieces that are different, so hopefully, that gives you a sense for kind of the details. 
Anton Brenner: Okay. Secondly, I wonder if, John, you might comment since you mentioned the guest core deficit. What area is Denny's particularly deficient in? 
John Miller: It's not one area. It's across the spectrum. So you wouldn't be able to look at it, Tony, and say once you fixed your steak, you've got it covered or dinner entrées or any one particular thing. And they are -- they're not as materially behind as maybe where we started. We really closed the gap. But we're not -- we don't score. We're not in the top category these days. So we continue to close the gap, and we're pleased with the progress. 
Anton Brenner: Okay. You're still anticipating taking a price increase in June or you're not? 
F. Wolfinger: No, not at this point. 
Operator: Our next question comes from the line of Mark Smith with Feltl and Company. 
Mark Smith: Just a couple quick ones. First in your other restaurant operating. Did you get some benefit from natural gas this quarter? Did that help that? I know that Mark walked through that a bit in his comment, but is there anything else we should be looking at in that kind of that other fees? 
Whit Kincaid: Yes. I know -- Mark said -- and the other -- the biggest benefit obviously in the quarter was kind of other, other, which is where preopening cost fly. And obviously, that was impacted in the prior year quarter by the opening in the Flying J conversion units the end of 2010, the first quarter of 2011. But yes, we're definitely seeing lower natural gas rates in the company units, and certainly expect to obviously benefit from that throughout the year to some degree. And then obviously, the benefit, the year-over-year benefit, I would say, on the preopening, you would continue to see to some degree as well, certainly more so in the first half than the back half. 
Mark Smith: What's the timing for the one company restaurant? 
Whit Kincaid: It's going to be at the end of the year. Right now, we're looking at fourth quarter. 
Mark Smith: Okay. And then last real quick. Anything you guys can say, on international growth initiatives, what we can look forward to there? 
F. Wolfinger: This is Mark. Obviously, we can take a focus on that. I think John certainly referenced in his comments. He mentioned the opening in the Dominican Republic, which we're very excited about. I think as we said in the past, we believe this brand's got great transformation and value outside the U.S. We continue to work on that, and we continue to focus resources on that. Hopefully, further updates will be coming. 
Operator: Your next question comes from the line of Conrad Lyon with B. Riley & Co. 
Conrad Lyon: Question about social media. I've never dealt in this, I think, with you guys. How do you feel that that's working for you versus say other forms of marketing, advertising? Do you feel pretty good about it? Do you think there's more opportunity to generate traffic and so forth? 
John Miller: This is John. We all may answer it slightly differently, but I'd say all of us would give it a thumbs up positive directionally. Certainly, broadcast is no bargain. There's lots of cable channels, and we all have to learn how, especially Millennials use social media. I tell you if there's one thing -- a common -- great social equalizer is that everybody, rich or poor has some sort of way in which they can text and stay connected. There are a number of things going on. One, the number of hits we had from our Cesar Millan, Skillet Whisperer episode. I think it's a little bit over 1 million on YouTube. Then we have our second year in our CollegeHumor efforts with a number of quite talented stars stepping up to want to participate with Denny's because it's sort of cool to be in these Dinersodes. Jessica Biel, over 500,000 hits already. That was just launched a few weeks ago. So we're really pleased with the cool factor, the talk value. We think this translates to butts in seats ultimately, and that's the goal. 
Conrad Lyon: Got you, and that's helpful. Kind of a different question on that tune. I'm not sure how much franchisees have to get involved with that, but has there ever been any kind of sticky points where franchises might say, "Hey, I'm not so hot on that," or are they pretty much on board with social media as well? 
John Miller: I'd say that the way we manage this relationship, our franchisees are very much involved, engaged from the onset. And if there were vetoes, concerns, sensitivities, they would be vetted out long before we got to the trigger. 
Conrad Lyon: Got you, helpful. Question for Mark. Regarding the debt EBITDA, paying down debt. I think you said 24 months you'd like to get down to 2x. If you have the opportunity to get down there quicker, would you prefer to do that over share repurchases? 
F. Wolfinger: That sounds like a yes or no question. I think the great news as I look at it is when you take a look at our debt structure, capital structure and the improvements we made. It's obviously quite significant over the last few years. Now we're at 2.6x levered today. I think in my comments, I mentioned we're getting to 2.5 either in the second or third quarter or so, either in the quarter we're in today or in the third quarter of this year. I think that to leverage ratio obviously is something that if we had talked about that a few years back, that would have been difficult to even imagine that. But clearly, as I mentioned in the cash flow commentary for the quarter, we continue to generate terrific free cash flow. But I also said, and this really answers your question, that we're going to balance that focus between continued debt reduction and obviously returning value to shareholders as well through share repurchases. So we continue to like the balance of those 2 items as far as using our cash. 
Operator: [Operator Instructions] Our next question comes from the line of Sam Yake with BGB Securities. 
Sam Yake: I think most of my questions have been answered. I was just wondering, did I hear -- when you talk about share repurchase, did you mention a number of like 2 million shares this year in 2012? 
John Miller: Yes. Sam, I think there's 2.3 million shares left on the -- what was the second authorization. Initial authorization was 6 million, and there's 2.3 million left on that authorization. 
Sam Yake: Okay. And I certainly can't complain -- find fault with paying down more debt, but when I do look at your -- you mentioned, Mark, your free cash flow generation -- I mean, your stock's selling at a little over 7.5x this year's free cash flow per share. And then I look at what you're paying for debt. It is a little hard to understand why you might not be a little more aggressive on share purchase, but I can't fault you for paying down debt. 
F. Wolfinger: I think that, Sam, if you look at last year 2011 -- you sort of talked about 2012 and the first quarter around -- and the fact there were no share repurchases because obviously, the focus was on the refinancing. But last year, to your point, that would be fiscal 2011, we maxed out our share repurchase plan last year. So under our debt agreement last year and the restrictions and combinations thereof that we had, we basically bought all the shares we can buy. 
Operator: There are no further questions at this time. 
Whit Kincaid: All right. Thank you, Heather. I'd like to thank everyone for joining us on our first quarter call today. We look forward to our next earnings conference call to discuss our second quarter 2012 results. Thank you and have a great evening. 
Operator: Thank you. This concludes today's Denny's First Quarter 2012 Earnings Release Conference Call. You may now disconnect.